Operator: Ladies and gentlemen, welcome to Sienna Senior Living Inc. Q4 2019 Conference Call. Today's call is hosted by Lois Cormack, President and Chief Executive Officer; and Nitin Jain, Chief Financial Officer and Chief Investment Officer of Sienna Senior Living Inc. Please be aware that certain statements or information discussed today are forward-looking and actual results could differ materially. The Company does not undertake to update any forward-looking statement or information. Please refer to the Forward-looking Information and Risk Factors sections in the Company's public filings, including its most recent MD&A, for more information. You will also find a more fulsome discussion on the Company's results in its MD&A and financial statements for the period, which are posted on SEDAR and can be found in the Company's website, siennaliving.ca. Today's call is being recorded, and a replay will be available. Instructions for accessing the call are posted on the Company's website, and the details are provided in the Company's news release. The Company has posted slides which accompany the hosts' remarks on the Company website under Events & Presentations. With that, I will now turn the call over to Ms. Cormack. Please go ahead.
Lois Cormack: Thank you, Joanna. Well, good morning, everyone, and thank you for joining us on our Q4 call this morning. In 2019, we continued to invest in our people, platform and property. We further strengthened Sienna's position as a high-quality provider in a dynamic sector. We have focused on operating and financing initiatives and made great progress in fully integrating our Retirement portfolio, operating platform and team. Our strategic initiatives were aimed at providing a great resident experience and building and retaining a high-performing team. We have achieved a high level of resident satisfaction of 81% based on the results of our annual survey in 2019. Our national quality indicators continue to exceed industry benchmarks. To support occupancy in Retirement segment, we have continued to enhance sales, operations and marketing programs and to invest in our properties. We have made great strides in optimizing our capital structure, and in early November, we finalized our $150 million inaugural unsecured debt financing and subsequently repaid some long-term debt, creating a pool of unencumbered assets. Our financing initiatives further decreased the Company's cost of debt and continued to strengthen Sienna's balance sheet, ending 2019 with a debt-to-enterprise value of 43.7%. Moving to Slide 5. Sienna benefits from owning a high-quality and a balanced portfolio of long-term care and retirement residences. The Long Term Care portfolio has remained virtually at full occupancy at 98.2%, with waiting list for each of our residences. The quality indicators in the portfolio consistently exceed industry benchmarks, and we anticipate positive results with respect to the third-party accreditation of the Ontario Long Term Care portfolio, which is currently underway and will be completed by Q2 of 2020. Average same-property occupancy in Retirement was 86.1% in Q4 2019. There are a number of factors that are contributing to the softness in occupancy, which I addressed on our Q3 call as well, including the temporary disruption associated with property upgrades and renovations at a number of the properties, oversupply in the Ottawa market and there is new supply in both Kingston and the South Surrey markets which are impacting our properties in these markets. We have been focused on several initiatives in Retirement with the goal to enhance the resident experience and to support occupancy. These initiatives include enhancing our assisted living services, marketing campaigns and winter promotions and investing capital to make further suite and amenity upgrades at a number of the residences, which we expect to be complete by Q2 of 2020. With respect to our people strategy, a more centralized approach to recruitment, learning and leadership development has improved the quality and the delivery of our programs and supports our goal to build and maintain a high-quality engaged team and great culture. The seniors living sector continues to evolve driven by an aging demographic, new technology and changing consumer needs and preferences. Sienna is embracing these opportunities and will ensure that continued investments in our people, platform and properties will further strengthen our position as a high-quality provider. With respect to supply and demand, we believe that the majority of Sienna's retirement residences are located in markets where future demand is expected to exceed supply. I will now turn the call over to Nitin for further details on Sienna's financial results.
Nitin Jain: Thank you, Lois, and good morning, everyone. I will start on Slide 9. Same-property net operating income for the quarter was $38 million compared to $38.9 million in Q4 2019, largely as a result of softer occupancy in our Retirement segment. The Long Term Care division generated same-property NOI of $21.5 million compared to $21.8 million in the prior year due to timing of expenses. The Retirement division generated same-property NOI of $16.5 million, impacted by softer occupancy, partially offset by rental rate increases in line with market conditions. For the year, same-property NOI increased by 0.7%, driven by stable growth in our Long Term Care portfolio and a stable operating margin in Retirement business of 45%. Moving to Slide 10. OFFO in Q4 2019 was $22.8 million compared to $23.6 million in 2018, largely resulting from lower same-property NOI in the Retirement portfolio and nonrecurring G&A expenses, which was partially offset by lower interest expense and lower current income taxes. Q4 2019 diluted OFFO per share was $0.34 compared to $0.357 in the prior year's fourth quarter. Q4 2019 AFFO was $20.9 million compared to $21.7 million in 2018. Diluted AFFO per share was $0.313 in Q4 2019 compared to $0.329 in the prior year's fourth quarter. During the fourth quarter, Sienna received a BBB investment-grade rating with a stable trend from DBRS. This provided the Company with additional financial flexibility and supported Sienna's first unsecured debt financing of $150 million for a 5-year term at 30, at 3.109%, which was used to pay down part of our higher interest rate debt, including a $35 million buyback of our Series B debenture, and to create a pool of unencumbered assets. At December 31, 2019, Sienna had over $300 million of unencumbered assets. Moving to Slide 12. Continuing with the trend we set over the past quarters, we further improved our balance sheet and capital structure, ending 2019 with a debt-to-enterprise value of 43.7% and a debt-to-gross book value of 46%, a reduction of 480 and 170 basis points, respectively, year-over-year. Sienna's debt-to-EBITDA improved to 6.7x in the quarter compared to 6.9x in Q4 2018. Our interest coverage ratio remained high at 3.7x, and we improved our weighted average cost of debt by 20 basis points year-over-year to 3.6%. With that, I'll turn the call back to Lois.
Lois Cormack: Thank you, Nitin. With more seniors than ever needing support, we are optimistic about our company and feel confident about Sienna's long-term growth potential, with a balanced portfolio and future development opportunities. With respect to our operating results, we expect the Long Term Care portfolio to generate 2020 net operating income in line with 2019. In Retirement, we expect a mid-single-digit decline in same-property NOI for the first half of 2020. We are working towards occupancy improvements in the second half of the year with a view of generating low single-digit NOI growth in the second half of 2020 and potential growth in '21. We are committed to constantly upgrading the quality of our portfolio and will continue to focus on maintaining a balanced portfolio mix through strategic acquisitions, potential disposition of noncore assets in addition to development opportunities. Our development plans include freestanding retirement residences with joint venture partners and intensification opportunities at existing sites. The developments of senior living campuses are subject to regulatory approvals and financial feasibility, and we continue to collaborate with industry associations and government authorities in seeking solutions for the development of new long-term care beds. With respect to intensification, we expect our recently completed expansion of Island Park in Campbellford to achieve stabilized occupancy by mid-'21. We also plan to start an expansion at Kingsmere in Alliston, comprising approximately 60 suites by mid-2020. This expansion has an estimated rate of return of 8% to 10% and an expected completion date in 2021. Looking ahead, we remain committed to initiatives aimed at creating positive experiences for all of our stakeholders. I am confident in the ability of our team to achieve continued success by remaining nimble and adapting to change and by keeping focused on providing best-in-class services to our residents. With a sophisticated operating platform, extensive management expertise in senior living and a strong balance sheet, Sienna is very well positioned to achieve sustainable long-term growth. Thank you for your participation on the call today. And Nitin and I will be pleased to answer your questions.
Operator: [Operator Instructions] Our first question comes from the line of Himanshu Gupta with Scotiabank.
Himanshu Gupta: So on the Retirement home segment, do you think your expectation for recovery in 2020 has changed since we last spoke at quarter 3 results? Has things panned out as expected in the last 3 months?
Nitin Jain: Our Q4 results are materially in line, Himanshu, with what we expected in Q4. As Lois mentioned during the Q3 call and in our comments now as well, we continue to see pressure in the 3 specific markets that we have called out, Kingston, Ottawa and South Surrey, and we are seeing more pressure from the new entrants to the market in terms of reducing rates versus what we originally thought. So our original guidance was that we expected same-property NOI to be slightly positive next year, and what we are coming back with is that we expect mid-single digits in the first half and low single-digit recovery in the second half.
Himanshu Gupta: Okay. And then specifically on your same-property NOI guidance for the first half, so you expect a mid-single-digit decline. Are you expecting flat occupancy? Or do you see decline in occupancy as well?
Nitin Jain: It's, really what we are focused on is improving our occupancy for the long term. And what we don't want to be doing is buying occupancy by reducing rates, so that has not been our focus and which is evident in our margin for the full year. It's stayed pretty stable to last year at 45%. So we are focused on increasing margin over the long term. And again, as Lois mentioned, our focus would be, we are not sitting idle on it, but we expect occupancy to start improving really in the second half of 2020.
Himanshu Gupta: Okay. So the expectation is the same as recovery in the second half of 2020?
Lois Cormack: Yes, that's right. We had said, we know that the winter is always seasonal. So that's as we had forecasted, that we did not expect any substantive improvement in occupancy until the latter half of the year.
Himanshu Gupta: Okay. And the recovery, is that a function of the renovations getting completed? Or is that a recovery in the fundamentals itself?
Lois Cormack: Yes. Well, we will be completing our renovations so that will definitely assist with the properties that are undergoing the renovation. As well, there's just the usual increase. Seniors don't tend to move in, in the winter months, and so the later months, or over the summer and fall are usually the months where we have a better uptake in terms of tours and leads and visits to our properties and move-ins.
Himanshu Gupta: Sure. And can you remind how many properties are undergoing renovation right now? And what are the time lines in terms of them getting completed? And when do you start to see occupancy pick up on those properties?
Nitin Jain: So it's really, the 10 [Medford] properties, when we bought them in early 2018, we set aside $5 million to work on those, and we are continuing on that. We expect most of them, or sorry, all of them would be completed by Q2 of 2020. And again, the change in occupancy would really be a blend of changing occupancy in those residences and in addition to the market in Kingston and South Surrey as some of the new supply gets absorbed.
Himanshu Gupta: Got it. And maybe just a last question on South Surrey market. What are you seeing in terms of new supply? And how is that impacting your properties? I think you have 2 properties there.
Lois Cormack: We have 2 properties, and there are 2 new properties that came into the market that are very close.
Operator: Our next question comes from the line of Troy MacLean with BMO Capital Markets. Your line is open.
Troy MacLean: For the development program, just kind of curious, is that targeted at existing markets or as a way to enter new markets?
Nitin Jain: I think our development program, the 2 properties, the one that we completed and the one we are doing now, obviously, those are intensifications, so those are in existing markets. But the stand-alone retirement homes we talked about would be in new markets with joint venture partners.
Troy MacLean: And would that be like in existing -- like Ontario, BC? Or would you look to enter like Alberta doing development?
Lois Cormack: Not at this time, Troy. Our development would be in existing markets with partners. We would not do development in new markets where we don't exist. Right now, that's not in the plan.
Troy MacLean: And then I believe you mentioned noncore asset sales. What's your determination of what will be noncore? Like are you looking at like -- is it Class B or C LTC properties or it's something on retirement homes where maybe you think you have too much exposure already? What's kind of the thought process there?
Lois Cormack: Well, we would look at -- I mean we evaluate the alignment of our older and smaller properties all the time and want to make sure that we're allocating capital in the right place and getting the best value for shareholders. So we're always kind of looking at what's the best opportunity for each of the assets.
Troy MacLean: And then could you provide any color on the average length of stay in the Retirement portfolio? Has that been consistent over the last year or is that starting to trend down?
Lois Cormack: It's still about 3 years, by and large.
Operator: Our next question comes from the line of Brendon Abrams with Canaccord. Your line is open.
Brendon Abrams: I'm just wondering if you could comment on any changes or trends you're seeing in traffic from potential residents throughout your retirement homes and, I guess, the lead conversions on that traffic? I guess my question really is are you seeing a good flow of potential residents coming through the building and just not converting? Or are they choosing -- and choosing maybe new supply in the area? Just wondering if you could comment on that.
Lois Cormack: Well, that's exactly the issue. When there's new supply that comes into a market, seniors have more options, so they're touring more properties, they're taking longer to make their decision. And when a new supply comes on-stream, they can be very aggressive in their marketing tactics and strategies and rates to be -- the strategy typically is to lease up the building as quickly as possible. So that often happens in any market where there is new supply. And in addition, usually, typically late fall, the Christmas time, from after Christmas and into the winter months, seniors don't usually look for retirement living unless they really have to. So traffic is definitely always down in the winter months.
Brendon Abrams: Great. So from your perspective, it's not necessarily a demand issue, it's more driven by supply in terms of the occupancy?
Lois Cormack: Yes. Demand is -- I would say demand is there. And particularly, given the challenge with the hospitals and the hallway medicine, there's just a lot of seniors that need other options and solutions outside of hospitals. So demand is there. There's increased supply. And in the winter months, we tend to have more people moving out with illness and so on and just not as much moving in, less traffic.
Brendon Abrams: And this might be a, it might be a difficult question to answer. But if you had to ballpark where your rents are compared to, let's say, new supply going up in your market, would they be significantly lower, in line? Like where would rents be compared to new supply?
Lois Cormack: It depends. I mean we always say, we're always in market. We do a competitive analysis and make sure that we're in line with market. But when new supply comes on, there are, they can be very aggressive with rates. And so I think, as Nitin said, we wouldn't, we would never try to match that or react to that because we, our approach rather is to maintain our service level and consistency and focus really on the residents' experience over time.
Brendon Abrams: Right. Okay. And maybe just 2 other questions. Can you remind us again the cost of, the total cost of the Kingsmere expansion, the 60 suites?
Nitin Jain: It's in the range of around $20 million.
Brendon Abrams: $20 million, okay. And I know in your release, you mentioned, under G&A, nonrecurring expenses. Just wondering if that's significant number or not. And what, if so, what it would relate to?
Nitin Jain: It's close to $1 million, and it's onetime expenses in our G&A.
Operator: Our next question comes from the line of Fred Blondeau with Echelon Wealth Partners.
Fred Blondeau: Just on the Kingsmere program, the 8% to 10% expected yield, would that be levered yields? Or, sorry, I missed that, I might have missed that.
Nitin Jain: Yes, it's unlevered. It's cash on cash, so really would be that our development cost with, including capitalized interest, upfront losses that we will incur and that, and dividing that by stabilized NOI, or the other way, dividing the stabilized NOI by the total development cost, so unlevered.
Fred Blondeau: Okay, okay. And maybe lastly for me, more general question. How is your focus on improving occupancy within the Retirement segment takes away your attention from the development program? I guess what I'm trying to understand is whether or not you are at your target commitment in terms of development at this stage.
Nitin Jain: Yes. I mean the only development we have done last year was an expansion. And we know that market very well, so the risk of getting into new market is low with that. Same thing with the current one that we're doing, it's an expansion. We understand the market quite well. So from an execution standpoint, we don't see a lot of risk. In the new markets, we have talked about entering new developments. We are not looking at doing 6 or 7 at a time. We might do 1 or 2. So we do, and there are obviously different people who do that kind of work. So in our case, we have a big enough platform that doing one doesn't really hinder us from doing another one or vice versa.
Operator: Our next question comes from the line of Jonathan Kelcher with TD Securities. Your line is open.
Jonathan Kelcher: Just to follow up on Fred's one question there. On the Kingsmere, the $20 million development cost, does that include the lease-up losses and capitalized interest?
Nitin Jain: That's correct, Jonathan. It would.
Jonathan Kelcher: Okay. And then just switching gears. How has flu season been so far this year versus last year?
Lois Cormack: I don't think there's really anything different. We do have some outbreaks in some of our communities, but it hasn't been dramatically different other than kind of the usual winter stuff where, again, we have more residents moving out with illness or leaving and fewer moving in.
Jonathan Kelcher: Okay. So would it be fair to say that you'd expect occupancy to be pretty similar to Q4? Or would you expect a little dip in Q1?
Lois Cormack: Probably a dip, yes.
Jonathan Kelcher: Okay. And then on -- just on your guidance, I guess the mid-single-digit down is really a function of tough comps on the occupancy front from Q1 and Q2 last year.
Nitin Jain: That's correct, Jonathan. It's really driven by occupancy.
Jonathan Kelcher: Okay. And then if you're -- if you end up being more successful in Q3, Q4, that would obviously be helpful to the back end and making the low single digit come to fruition because you'll also have easier comps in Q3, Q4 next year, right?
Nitin Jain: Yes. I mean that currently is included in our thought process. But again, as we get through the quarter, our goal would be to keep everyone informed to our outlook.
Jonathan Kelcher: Okay. And then on the supply front, have you noticed a slowdown at all owing to any cost pressure on any new supply coming? Or do you expect that pressure to sort of maintain?
Lois Cormack: It's hard to say just because -- I know that we have -- there is new supply coming on over the next 2 years in some of our markets like Barrie, and some of the other smaller markets that we're in, there is other supply coming on.
Jonathan Kelcher: Okay. And then just lastly, do you have any update on redevelopment on your Class C assets?
Lois Cormack: Well, I guess what we would say there is we're very pleased with the ministry's approach, that there's a new ministry now for long-term care. And they've been extremely collaborative consulting with the sector, understanding that they need to make some changes. So we just don't really have any line of sight to what or when there would be some changes to the program.
Operator: Our next question comes from the line of Chris Couprie with CIBC. Your line is open.
Chris Couprie: I think on the last call, you thought that potentially retirement home occupancy by the end of this year could be up 300 basis points versus, I guess, where we were in Q3. Is that still a reasonable expectation?
Nitin Jain: Yes. I mean we ended like Q3 of 2019 around 85% as our occupancy, which includes the development one as well. And our guidance was around getting close to 89% towards the end of the year, so we are still on that number.
Chris Couprie: Okay. And what gives you, I guess what kind of gives you that confidence in terms of the, you alluded to that there's new supply that's going to still be coming on in a couple of your markets over the coming 2 years. So I get that you'll have, you'll eventually get absorption in Kingston and some of the other markets that are currently oversupplied. But what gives you the confidence that this new supply is not going to then pressure occupancy in those markets?
Lois Cormack: Yes. It's all in the timing of when the new supply comes on. So the, a lot of that, like the new projects in Barrie, for example, are planned for later into 2020, '21.
Chris Couprie: So is it kind of, if we just think about the longer term, is the kind of stabilized level of occupancy maybe lower than we would have thought overall?
Nitin Jain: Yes. I think in the past, we had like 92%, 93%. Now we have a bit more exposure in the Ottawa market. The 2 properties in South Surrey, they're going to, we have a bit of pressure for some time. So again, I think it's very hard to, for us to predict what may happen in the next 2 years. So I think for now, probably the outlook we can provide you is for 2020.
Lois Cormack: Yes. The CMHC data for 2019, the average occupancy was 90% for seniors. One thing to think about though, you remember with Sienna, the real opportunity we have, because we've got a balanced portfolio with long-term care and retirement, it kind of helped to offset any short-term occupancy pressures that we have because the supply will be absorbed over time with the demand in all of these markets. Even by 2023, all of the markets that we're in, this supply should be absorbed. And because we've got a balanced portfolio and the stability of long-term care, that really is very beneficial for Sienna.
Chris Couprie: And in terms of your Long Term Care guidance, is, I think there was some chatter that the structural compliance premium might be removed. I think that's been delayed. Or if you can give us an update on the status of that and how that could affect your outlook at all in that segment?
Lois Cormack: Yes. We, our understanding, and we know that our industry association is still on discussions with the ministry on this, but the last we heard that it was, it may end in 2020, March 2020.
Nitin Jain: So the original guidance, Chris, is that it could potentially end in March of 2020 or end of, March 31, 2020. And since that, there have been some revised conversation that they might relook at it. Again, we don't really know what relooking might mean at this point.
Chris Couprie: So in your guidance though, you assume that it ends in March 2020?
Nitin Jain: Correct.
Chris Couprie: And then maybe just on cash taxes, any thoughts for what that might look like this year?
Nitin Jain: Yes. So for this year, we had around $6.1 million of cash taxes. I think for 2020, we should expect around $7 million to $7.5 million.
Operator: [Operator Instructions] Our next question comes from the line of Yash Sankpal with Laurentian Bank.
Yash Sankpal: What is your occupancy in -- the retirement home occupancy at this point?
Nitin Jain: So our asset occupancy for the -- for same-property is around 86%, fairly similar to where we ended the Q3, which was around 86.3%. So we were a little bit below 86.3% at around 86%.
Yash Sankpal: And just going back to this long-term occupancy expectation for the retirement home portfolio. Do you think 90% is a good range in the long run for your portfolio? Or do you think you can go above, like 92%, 93%?
Lois Cormack: Yes. I don't -- right now, I don't know. I mean we'd love to be at 92%, 93%. I think just given the supply over the next year or couple of years, I would kind of look more towards where CMHC is today at 90%. I think that's probably the best guidance overall. And again, it's all kind of market specific, depending on which markets you're exposed to. Unfortunately, we have a number of properties in Ottawa and Kingston, which, right now, are oversupplied.
Yash Sankpal: Fair enough. And Lois, would you consider to increase your retirement home percentage at this point? Or do you think where you are is a good proportion?
Lois Cormack: Well, we're always looking. I mean we do like a balanced portfolio. You can see the benefit that we have of running a balanced portfolio, so we like that approach. And we'll continue to look at strategic opportunities that get us there to get a balanced portfolio.
Yash Sankpal: So you still want to go reach that 50-50 proportion?
Lois Cormack: Yes, we'd be happy with that.
Yash Sankpal: Okay. And are you looking to sell any retirement home properties under the noncore disposition program?
Nitin Jain: I think it's -- Lois just answered the same question previously as well. Yes, I think the idea would be to look at all assets and figure out, especially the smaller and older assets, where it would make sense. So I think that's across our portfolio.
Yash Sankpal: So the reason I ask is your retirement home portfolio is relatively new, so that...
Nitin Jain: Yes. It's new, in a sense, when we bought it, but they are -- again, I don't think it's just new and old. It might be just the size of the property, where it's located. So I don't think there's anything specific more that we can provide at this point.
Yash Sankpal: Okay. And on the impact of new supply, are you seeing any of your existing retirement home tenants leaving to go into a new building? Are you seeing that phenomenon at all?
Lois Cormack: That occurs from time to time. I mean it goes 2 ways often. When new supply opens, they can be very aggressive in marketing, not only within the community but to our current residents, doing mail drops and so on with current residents. So occasionally, we do have some residents that move out for the shiny new penny, and then more often than not, we'll also see them move back.
Operator: I'm not showing any further questions. I would now like to turn the call back over to Lois for closing remarks.
Lois Cormack: Well, thank you, everyone, for joining our call this morning and for your support, and we look forward to seeing you at our AGM in April.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect. Everyone, have a wonderful day.